Preben Orbeck: Good morning, and welcome to Aker Solutions Presentation of our Second Quarter and Half Year Results. My name is Preben Orbeck, and I am the Head of Investor Relations. With me here today is our CEO, Kjetel Digre; and our CFO, Idar Eikrem. They will take you through the main developments of the quarter. After the presentation, we have time for questions. Those who are following the AudioCast can submit your questions via the online platform. And with that, I leave the floor to Kjetel Digre.
Kjetel Digre: Thank you, Preben, and welcome to everyone listening in. I'm happy to report another quarter with impressive financial results. I want to thank everyone in Aker Solutions for making this happen. Our second quarter revenue was NOK12.8 billion, with an EBITDA margin of 9.5%, including the net income from OneSubsea. We delivered a solid NOK15.5 billion in order intake in the quarter or 1.2 times book-to-bill, and our backlog ended at NOK71.4 billion. Our financial position remains robust with a net cash position of about NOK11 billion, including investments in liquid funds. During the first half of 2024, we have distributed about NOK1.4 billion to our shareholders through dividends and share buybacks, in-line with our dividend policy. These financial results are the outcome of strong operational performance on our project portfolio. In these times of geopolitical tension impacting our markets and supply chain, I'm very proud to see that we continue to meet our execution milestones; for instance, with the start of sea trials for the Castberg FPSO and the delivery and subsequent offshore installation of the Fenris PDM model and jacket for Aker BP. In May, we launched a new brand for our energy consultancy called ENTR. The new brand reflects Aker Solutions' evolution and ongoing commitment to support customers in an increasingly complex and fast-moving energy landscape, building on the company's long and successful history of engineering, innovation, project development and delivery to provide a broader set of advisory services. As stated several times over the past quarters, the outlook for Aker Solutions remains positive. Our large secured order backlog gives us a clear view on future activity levels. Our services are in high demand, enabling us to be very selective in which projects we take on. Next, let me briefly take you through some of our operational highlights this quarter. For the Aker BP portfolio, the large greenfield projects are progressing as planned with high activity across locations. I will return with more detail on the specific projects shortly. After about two years at -- docked at Stord, Equinor's Johan Castberg FPSO left the Stord yard in late May to begin sea trials in [indiscernible] before heading towards the Barents Sea. With recoverable resource of more than 450 million barrels of oil equivalents, the project will be a key contributor to energy security and value creation for the next 30 years. In our international Life Cycle portfolio, we are currently engaged in a very interesting project at the Adriatic LNG facility in Italy. Delivering more than 14% of the country's natural gas consumption, the facility is a critical part of Italy's energy infrastructure. Aker Solutions has been involved in the project since 2004, providing engineering and construction support services for the gravity-based structure. Our current scope includes engineering, procurement and management services for their debottlenecking project, focused on ensuring optimized production at the lowest cost for end users. Moving over to our electrification portfolio where Equinor's two platforms, Troll B and Troll C have been connected to power from shore and are in the final stages of commissioning for part electrification. Since the mid-1990s, Aker Solutions has taken a leading role in the electrification of offshore oil and gas platforms. Once fully operational, the Troll West project will reduce carbon emissions by about 500,000 tonnes annually. The Draugen power from shore and the connected Njord electrification project further add to our experience with major electrification projects. We are also engaged in several early phase studies, which we believe will develop into a significant portfolio of electrification projects going forward. In our hydropower business, we are experiencing high market activity and strong demand for our electromechanical systems and services. During the quarter, we successfully completed the Løkjelsvatn hydropower project. And for this project, Aker Solutions has delivered both the turbine, intake valve, cooling and drainage system and the full turbine generator. The project started back in 2018 and will, once fully operational, add 20 gigawatt hours of green energy annually to the Norwegian grid. Lastly, I wanted to touch upon our CCS project portfolio. During the period, Aker Solutions has completed its delivery for the Northern Lights CO2 receiving facility on the West Coast of Norway. Northern Lights is part of the Norwegian government's Longship project for establishing a full-scale carbon capture transport and storage value chain in Norway. Aker Solutions is also engaged in HeidelbergCement's carbon capture project at Brevik and is responsible for the feed for Celsio's waste-to-energy, carbon capture and storage project in Oslo. Projects under the well-proven alliance model with Aker BP represents more than half of our current backlog. The portfolio consists of four new platforms with a combined weight of more than 90,000 tonnes as well as more than 50 projects in our Life Cycle segment. During the second quarter, we have seen high activity and strong progress across all the platform projects. At the Hugin A, the first steel sections for the topside have been completed at Stord and are now undergoing surface treatment. In addition, the first sections of the living quarter has been safely moved out from the fabrication hall at our partner yard in Leirvik. At Fenris, the smallest platform in the portfolio, both the jacket and pre-drilling module were successfully delivered from our yard at Verdal and later installed at the field. For the two other projects, Hugin B and Valhall PWP topside and jacket fabrication are progressing according to plan. To ensure efficient and safe execution, Aker Solutions is investing in new technologies and digital solutions. One example is the fully automated production line at Verdal that you see in the picture to the bottom left. We are also seeing the real impact of our digital solutions as the projects progress in the construction phase, ensuring better collaboration, precision and productivity. I also wanted to highlight the important deliveries from OneSubsea to Aker BP through the Subsea alliance. With more than 50 Subsea wells to be completed between 2024 and 2027, OneSubsea plays an important role in the development of these projects. Aker Solutions is both a proud co-owner and an execution partner for OneSubsea, delivering a range of fabrication, machining and engineering services. All in all, I'm very happy to see that Aker Solutions and our partners are making solid progress on the Aker BP portfolio. The achievements in the alliance is a clear testament to the value of working closely together with aligned incentives, delivering quality projects with faster time to first oil. Moving over to our order intake in the period. In the Renewables and Field Development segment, we booked an order intake of NOK8.8 billion in the second quarter. This mainly came from growth in existing projects, but also continued high activity in our energy consultancy business. In the Life Cycle segment, we recorded about NOK6.6 billion in order intake. During the quarter, we announced three awards in this segment. The first was the Bestla tie-back project for Okea, where Aker Solutions will provide modification services on the Brage platform in the North Sea. The second contract was for the upgrade of the wastewater treatment plant at the Mongstad refinery for Equinor in Western Norway. And the third award was a continuation of the frame agreement with Azule Energy, a joint venture between BP and ENI for brownfield and modification services in Angola. Aker Solutions has worked with Azule and Angola since 2018, and we are very pleased that the customer has placed its trust in us again. Our Life Cycle segment currently has a record high secured order backlog of about NOK24 billion, representing almost 2 times annual revenues in the segment. The segment has a broad set of offerings, covering the operational phase of energy assets. More than half of the volume relates to long-term frame agreements with key clients such as Equinor, Aker BP, ConocoPhillips, Exxon, Shell, OKEA and BP. Aker Solutions frame ingredients currently covers the majority of offshore oil and gas facilities in Norway, Canada and Brunei, and some selected assets in UK and Angola. Optimizing production from existing assets requires larger modifications, like upgrades on process systems to enable production from new Subsea tie-ins, changes of operational requirements, as well as lifetime extensions. Our deep knowledge of the assets makes Aker Solutions the preferred partner for executing these modifications in our current core markets. Aker Solutions also provides hook-up and commissioning services. These services are critical to ensure timely, cost-efficient and safe startup for new facilities coming on stream. Lastly, the Life Cycle segment has taken a leading role in the decarbonization of oil and gas platforms, replacing today's gas turbines with clean power. To date, Aker Solutions has supported the electrification of more than 10 offshore assets. We also support customers in reducing emissions through studies enabling them to select cost-efficient solutions with lower environmental impact. With its record high backlog of low-risk projects with long-term customers across the energy space, our Life Cycle segment is uniquely positioned to support customers through the energy trilemma of delivering affordable, reliable and sustainable energy to the world. Then moving over to our tender pipeline, which at the end of the second quarter had increased to about NOK70 billion. We continue to see a good mix of traditional oil and gas developments, decarbonization projects and renewables opportunities in the pipeline. We remain highly selective on which projects to target. We only focus on projects with the right risk-reward balance. Therefore, we target customers and strategic partners who see the value of working closely together over time with aligned incentives. We work in geographical regions we know well and where we have established relationships with local stakeholders. Lastly, we are focused on identifying scopes of work where we can contribute with the full breadth of our capabilities. Before I go into the general outlook for Aker Solutions, I wanted to say few words about the energy consultancy. In late May, we announced ENTR, our new brand for energy consultancy. Today, this is an organization of about 300 dedicated employees drawing on the combined capacity and competencies of more than 4,000 engineers across the company. By expanding our service offering, we aim to help our customers to make robust investment decisions in an increasingly complex energy landscape. We continue to experience strong demand for our services. During the first half of 2024, we have worked on more than 200 projects for a wide variety of customers with a good balance between renewables, transitional energy and more traditional oil and gas studies. We have also secured long-term frame agreements for engineering services from several international clients. One of these clients is Petronas, for which we recently delivered a pre-FEED study for a potential CCS project in Malaysia, marking our first CCS engagement in the region. We also continue to work on major industrial decarbonization projects like Mongstad industrial transformation as well as a number of offshore hub strategy studies with decarbonization through electrification at their core. This takes me to the general outlook for Aker Solutions. First of all, I'm very proud to see that we continue to deliver on our financial targets, driven by solid operational performance. Our key focus is to deliver safe and predictable project execution on the large project portfolio. Secondly, we are progressing well on our transition journey, positioning the company for future profitable growth. We are currently engaged in some of the most important energy projects focused on delivering secure and affordable energy to end users. We are also supporting the energy transition through a variety of projects across market verticals and geographical regions. Together with our partners, we are at the forefront of developing innovative technology and digital solutions to solve energy challenges for future generations. Lastly, our financial position remains robust. This gives us a strong foundation to grow the company and generate stable and solid returns for our shareholders over time. And now, I will pass the word to Idar, who will go over the numbers in more detail. Thank you.
Idar Eikrem: Thank you, Kjetel. I will now take you through the key financial highlights of the second quarter, the half year results, our segment performance and run through our financial guidance. As always, all numbers mentioned are in Norwegian kroner. So, let me start with the income statement. The second quarter revenue was NOK12.8 billion, up from NOK8.8 billion a year ago. This represents about 45% growth year-on-year. For the first half of the year, revenue reached about NOK24 billion, which is more than 50% higher than the same period last year. The underlying EBITDA in the quarter was NOK1.2 billion, up from NOK218 million a year ago with a margin of 9.5%. For the first half of 2024, EBITDA was NOK2.2 billion, up from NOK466 million in the same period last year. The results were positively impacted by an oil and gas project reaching profit recognition milestones, but negatively affected by the legacy renewable projects. In addition, our share of the OneSubsea contributed with NOK185 million in the quarter, while other equity accounted investees had a negative contribution in the period. Details on OneSubsea financial performance will be provided after SLB reports their second quarter results. The underlying EBIT for the quarter was NOK959 million, up from NOK60 million a year ago. The EBIT for the first half of 2024 was NOK1.7 billion, more than ten-fold increase from last year. Net financial items was negatively affected by the development in SLB share price and associated exchange rate in the period. The net income, excluding special items in the quarter, increased to NOK862 million, up from NOK571 million a year ago. Net income for the first half of 2024 was almost NOK1.6 billion, a 52% increase from last year. Lastly, earnings per share in the quarter was NOK1.78, up from NOK1.14 a year ago. Earnings per share for the first half of 2024 was NOK3.19, up 55% from the same period last year. Let us now look at the financial position. We start with our working capital, which at the end of the quarter stood at minus NOK8.9 billion. We continue to expect working capital to normalize as we execute on the large order backlog, but now forecast that this will represent a cash outflow of around NOK3 billion in the second half of 2024. CapEx in the second quarter was around NOK400 million. This mainly relates to the planned investment to safeguard execution of the large oil and gas projects. We maintain our guidance on CapEx to be between 2.5% and 3% of revenues for the full year. We continue to have a solid net cash position of about NOK11 billion. This includes about NOK6 billion of financial investments in liquids funds, which is not treated as cash under IFRS. Let us now look deeper at our cash flow development for the quarter. Operational cash flow in the period was NOK1.4 billion, mainly driven by EBITDA in the quarter. CapEx was, as mentioned, NOK413 million, in-line with our guidance. During the quarter, we received the remaining cash proceeds from Subsea7 of about NOK1.6 billion. We also received a closing account settlement from OneSubsea of about NOK300 million. The remaining proceeds from the Subsea transaction, namely the vendor note and the working capital loans are expected to come over the next six to 12 months. As per our dividend policy, we distributed about NOK1.3 billion through cash dividends and share buybacks in the quarter. Of the announced NOK500 million buyback program, Aker Solutions has, per end of the second quarter, acquired treasury shares for about NOK454 million. Now over to our segments. For Renewables and Field Development, the second quarter revenues increased to NOK9.4 billion, up from NOK5.4 billion last year, representing a year-on-year growth of about 75%. The underlying EBITDA in the quarter was NOK887 million, up from NOK208 million a year ago with a margin of 9.4%. This was mainly positively impacted by one large project reaching the profit recognition milestones in the quarter. However, underlying margins are still negatively affected by the legacy renewable projects, which are to be delivered in 2025. The order intake in the quarter was NOK8.8 billion or 0.9 times book-to-bill. This was mainly driven by growth in scope on the existing projects and the quarterly figure for order intake was positively impacted by a significant currency effect. The secured backlog remains high at NOK46.8 billion. Based on the secured backlog and market activity, we now expect the revenue in this segment to increase by about 65% in 2024 from 2023 levels. For the Life Cycle segment, the second quarter revenue was NOK3 billion, which is slightly below the same period last year, mainly driven by lower third-party costs such as procurement. The underlying EBITDA in the quarter was NOK205 million, up from NOK164 million last year and with a margin of 6.8%. This is driven by strong operational performance across the portfolio of frame agreements, modifications and other services. Order intake in the period was NOK6.6 billion or 2.2 times book-to-bill, driven by the mentioned awards on Mongstad, Bestla and Azule. The backlog is all-time high at NOK23.8 billion, dominated by long-term frame agreements and mainly reimbursable modification project with long-term customers. We expect the Life Cycle segment to continue at close to 2023 levels also in 2024. Now over to order intake and backlog. Our backlog remains high at more than NOK71 billion, providing a good visibility on future activity levels. One thing is the size of the backlog, but much more importantly is the quality. More than half relates to the project to be executed in the well-proven alliance model with Aker BP. Less than 7% relates to lump sum projects, mainly the legacy renewable projects set to be delivered in 2025. This is a very good position to be in. And, as Kjetel mentioned, our focus is to continue delivering predictable and solid execution to harvest upside potential and incentives. Now, to sum up, in the second quarter, we continued to deliver strong financial and operational performance. Based on a secured backlog and market activity, 2024 revenue is expected to grow by around 40% compared to 2023. The EBITDA margin is now expected to be around 7.5% for the full year of 2024. In addition, OneSubsea will contribute to our financial performance through our 20% ownership. Working capital is expected to normalize in the second half of 2024 with a forecasted negative cash impact of around NOK3 billion. The CapEx in 2024 is estimated to be between 2.5% and 3% of revenues. As we finalize our ongoing investment program to safeguard the large oil and gas projects in Norway, enabling us to utilize new technologies and digital solution to enhance productivity, quality and safety. Over time, CapEx is expected to be around 1.5% of revenues. The outlook for the company and for our industry is very positive. And Aker Solutions is in an excellent position to take advantage of opportunities ahead. Thank you for listening. That was the end of our presentation. We will now open up for questions.
A - Preben Orbeck:
.:
Kjetel Digre: Yeah, thank you for the question. First of all, I would say that we see good opportunities in all the areas and offerings where we are relevant and well positioned. And because of that, we remain highly selective on which terms we enter into, which regions we are present in, and also who we work with on the client side. And as you see from the numbers, this is dominated now in the tender pipeline around Norway and Europe, but we do have good processes in all our present regions. Just some examples on the projects. We see it's in the traditional oil and gas and also the decarbonization kind of activities around that. We have it in the relevant offerings within offshore wind and also CCS. We have a jacket portfolio, which is relevant for both offshore wind and oil and gas. And then, as we said also in the presentation, the Life Cycle segment has a lot of frame agreements with our key clients that are being evaluated and extended. And I also like to mention that the hydropower business is also seeing good growth, and we are really working closely with our key clients there as well to grow that business. When it comes to the timeline, we will have several tenders that goes from sort of the prospect definition and into actual tendering processes in the next six to 12 months and then the actual awards will happen continuously in -- for the current pipeline for the next, I would say, couple of years actually.
Preben Orbeck: Second question from Victoria McCulloch. You mentioned the order intake in Renewables and Field Development reflects largely growth in existing projects. Can you explain a bit more what type of work this is?
Idar Eikrem: This is normal in most projects that we have updates -- regular updates and baseline update on projects and that is applicable for all of the projects. And in the second quarter, we have had significant sort of update on some of the project. When it comes to the Aker BP portfolio, which is now the largest part of our portfolio, there has been an update during the quarter. And a large -- fairly large portion of that is also related to currency. So, it's an update on currency impact on procurement. The project has standard exchange rate that they are using. And now since most of the procurement have been placed, we have in our baseline update included that one. That will increase our revenue. And as you probably all know, Aker BP is a US dollar-based company, so they will not have the same impact on their numbers.
Preben Orbeck: Following up on a question from Kate Somerville in JPMorgan, you have 97% revenue coverage for 2024 versus your guidance. Do you think your revenue guidance is therefore still too conservative?
Idar Eikrem: Yeah. The short answer to that, Kate, will be, I wouldn't rule that one out, but at least we are confident with the 40% increase from the 2023 level that we now have provided to you guys.
Preben Orbeck: Moving over to a question from Haakon Amundsen in ABG. With NOK33 billion in backlog for '25 and the high tendering pipeline, how do you expect revenues to develop in 2025? And also kind of a follow-up question, you have previously indicated that future AKSO margins beyond 2024 should be within the 6% to 7% range. Do you also expect this after 2024, in '25 and onwards?
Idar Eikrem: Yeah. I'll take the last question first on the margin side. I think that 6% to 7% range was when we announced margin for 2024 and we indicated a range of 6% to 7%. And I got the question if that was sort of sustainable also going forward. And I think we confirmed it at the time, and it's still valid. It's establishing our margin at a new level. And then, as you know, in this quarter, we had to increase our forecast for the full year from the 6% to 7% up to around now 7.5%, impacted, of course, with some positive one-offs in first and second quarter with -- when it comes to the recognition of profit from the fairly large activity package projects. But however, we are planning for 2025 with high activity level and also with healthy margins, and we'll be happy to come back to more exact and precise guidance on that at a later point in time.
Preben Orbeck: Moving over to a question from Lukas Daul in Arctic, can you provide a breakdown for remaining proceeds and timing from the JV in the cash balances, the working capital and the vendor note?
Idar Eikrem: Yeah. We can do that. And as you saw from my quarterly report, we have received approximately NOK1.9 billion in this second quarter, mainly related to the NOK1.6 billion from Subsea7, including also NOK300 million in the closing accounts and the cash -- related to the cash balance that was there at closing. In addition, we will have the working capital and also the vendor note. And we expect that to be paid within the next six to 12 months. However, we believe that most of it or all of it will be paid within year-end. And in totality, that is NOK1.3 billion.
Preben Orbeck: Moving on to a question from Oscar Ronnov in Kepler, a question on the free cash flow. Could you update on the guidance given Q4 last year with a free cash flow generation of NOK0.8 billion between 2024 and 2027?
Idar Eikrem: Yeah. We haven't updated any sort of forecast for that period. So, we will come back to that one. But as you see from our quarterly report and also the outlook that we just talked about now, we have a significant and strong cash generation, both behind us and coming. And then we will provide further guidance on that at a later point in time.
Preben Orbeck: Moving on to the question from Martine Kverne, Nordea. Can you say something about the normalization of working capital also into 2025?
Idar Eikrem: Yeah. Working capital, as we previously -- guidance was that we expect a reversal of around NOK4 billion in 2024. Now we have adjusted that to around NOK3 billion for the second half and we are currently at NOK8.9 billion working capital negative that is, which is a level that we don't think is sustainable long term. So, a normalization will come and we expect normalization to be starting in the second half of the year now and into 2025. And I think the range that we have indicated after '24 is between minus NOK6 million and minus NOK4 billion. So that is an indicative range that you could provide for the time being.
Preben Orbeck: Moving on to a question from Daniel Thomson in BNP. How much of the tender pipeline is related to carbon capture and storage? Are margin for the current CCS portfolio in line with the average of the Renewables and Field Development division?
Kjetel Digre: Well, if you look at the number at large, we have around 16% of our activities linked to renewables and energy transition projects. I think that's really the answer to the first one. And then, we have CCS projects in all phases of the project pipeline. We have it in execution around the cement factory in Norway. We have it in a FEED stage for the waste-to-energy on Celsio in Norway. We are also then tendering for both these two categories, but also CCS linked to new gas power plants. And we also have a technology agenda linked to CCS, which we are growing now with some of our key clients. I think that's really covering the first question. Then, Idar, you can take the second.
Idar Eikrem: Yeah. When it comes to the margins, we are in this business to make money, and of course, with healthy margins, and we are not there to win orders, we are there to make money and then secure orders with a healthy margin. That's what we are doing and we will be disciplined in that going forward. And therefore, you should expect healthy margin coming out of also those type of projects.
Preben Orbeck: Moving to the second question from Daniel Thomson. Are the alliance partners with Aker BP running ahead of planned execution? Or does the revenue growth reflect more the increase in contract escalation?
Idar Eikrem: Yeah. As I mentioned earlier, a lot has to do with market updates and escalation currency is one part of it and that was a significant part of it. And then, it's also other elements that are impacting that portfolio.
Preben Orbeck: Moving to a question from Martin Huseby Karlsen in DNB. There have been limited changes to the exchange rates since Q1. Could you help us understand the currency impact on the backlog?
Idar Eikrem: Yeah. The currency impact is not one that we update on every quarter. This is linked to the baseline update that we do on projects. And here is currency impact that is covering a much longer period than in some case for -- since the award of the project back in '22. Because now we have sort of placed procurement and orders in the market and then we know the outcome of that and the currency impact of that one.
Preben Orbeck: Moving on to a few questions from Erik Aspen Fosså in Carnegie. On the guidance uplift, how much of this is isolated to 2024, and how much could have implications for '25 and '26? And then, we can include the second question. Is it possible to maintain the same activity levels as in 2024 into '25 and '26?
Idar Eikrem: Yeah. It's similar to question that Haakon had. And what I said is, we are planning for a high activity level also in '25. And based on the current backlog and tender pipeline, we see that it's -- that is well within reach. Final numbers on what we will be planning for, we will have to come back to you and others with at a later point in time.
Preben Orbeck: Third question from Erik Aspen Fosså. On the CapEx, is it still unchanged at nominal terms, or will it increase with a higher revenue?
Idar Eikrem: No. I think we had a similar question also in the first quarter. The CapEx is within the range of 2.5% to 3% for the year. And even though the top-line have been adjusted up, we are not adjusting up the CapEx. So, it will be rather coming in the lower part of that range than in the higher part of that range.
Preben Orbeck: Moving over to a question from Martin Huseby Karlsen in DNB. With the large Aker BP projects now well underway, could you talk how this execution model has impacted margins versus the more conventional projects in your backlog?
Kjetel Digre: Yes. As you know that Aker BP is alliance model. It's -- there is no sort of lump sum elements in it and it's, call it, balanced risk-reward and a lot of it is also linked up to incentive mechanism. And normally, you will have incentive mechanism kicking in later and towards the end of project portfolio than in the beginning and we are now in the beginning phase of that, but with a healthy margin as a starting point.
Preben Orbeck: Moving over to a question from Russell Searancke from Upstream. The tender pipeline is heavily focused on Norway, Europe. Can you detail some of the largest oil and gas project opportunities?
Kjetel Digre: Well, we are working with many of the known ones. If you look at Norway, for instance, we have the Barents Sea, which is still an area of some opportunities and Wisting is on one of them that we are obviously interested in and very relevant for. And then, we have mentioned also in the presentation, projects like the Arctic LNG, which is then further down south in Europe. Perhaps the largest and clearest proportion just now is within what we call Life Cycle -- the Life Cycle segment and that's because we have a lot of oil and gas installations now that the operators are working very constructive to both extend lifetime, increase energy efficiency and then also pulling in tie-backs -- Subsea tie-backs. That triggers a lot of activity, not only for our co-owned OneSubsea business, but also our Life Cycle segment to run the bigger modification projects.
Preben Orbeck: Moving over to a question from Christopher Møllerløkken in SparBank 1 Markets. You upped your revenue guidance for 2024. It's driven by growth on existing projects or 2025 work being moved forward or a combination?
Idar Eikrem: It's basically growth on existing portfolio that is driving this one and provide higher revenue forecast for this. And then, as was indicated earlier, we had -- we have now upped it to 40%, it was 30%. It was probably a bit conservative when we started off, we can admit that one and then we are now at 40%. It's not part of your question, but I also would like to draw the attention to all of you guys that in Life Cycle, we are now in a good position. We had a NOK13 billion revenue last year and we are planning for a similar level this year. However, the margins on Life Cycle has improved compared to previous and last quarter, 6.8%. So, we are very pleased with the development in Life Cycle. So, they probably deserved that question that was not coming in from you guys, but comment from me. Thank you.
Preben Orbeck: Thank you, Idar. This concludes the Q&A and the presentation of our second quarter results. From everyone here, I would like to thank you for listening in and wish you all a good summer. Thank you.